Tom Erixon: So good afternoon and welcome to Alfa Laval's First Quarter Earnings Call in 2024. And joining me is Fredrik, our CFO, and so we will go through the presentation. We have an AGM starting in a while so we're going to be a little bit tight in the meeting and we intend to finish at quarter to. With that, let me go to a couple of introductory comments as always. First, as you noticed, overall demand remained strong in the quarter despite volatility in several end markets. A good conversion of the product pipeline and strong growth in service compensated for weakness in end markets like HVAC and offshore. Invoicing was lower than expected for several reasons with some negative margin impact especially on the Food & Water side. Invoicing is expected to return to anticipated levels in the next quarters. Finally, the group continues to exceed all communicated financial targets. At the same time, we are in a heavy investment period both within R&D and the capacity expansion program. We remain committed to lead the energy transition while maintaining healthy profitability and a strong balance sheet. And with that, let's go to the key figures for the quarter. Order intake was stable year-on-year and grew 8% sequentially with invoicing slightly below the expectations. Consequently, the orderbook grew to about SEK 48 billion and the book-to-bill in the quarter was 1.23. EBITA improved slightly versus last year, but with a margin that decreased somewhat. Let me comment on the margin development on the divisional levels. So moving on to the Energy division. Most end markets continue to grow on a healthy level with the exception of the HVAC market, especially the heat pump market was weak as expected. Lack in volumes have to a degree been compensated by gains in other applications related to the brazed heat exchangers. The order intake and margin will continue to be negatively affected in the next quarter by the weak HVAC market, but as previously guided, a gradual improvement is expected in the second half of 2024. The elevated margin in the first quarter 2023 was, as you know, partly due to the positive inventory reval effects at the time. Excluding that, the financial performance was stable compared to last year. The unusually high growth in service continued in the quarter with the growth in the Energy division of 20% and service accounted for 31% of order intake in the quarter. This is a structural difference from the past and compared to 5 years ago, the service share was at that time at 24%. So in terms of the split between capital sales and service, we have a different situation in the Energy division now and expect it to continue going forward. The ongoing capacity expansion program is progressing well and in line with plans although at a somewhat slower pace than originally communicated. Moving on to Food & Water division. The demand was strong in the first quarter and grew 10% versus last year. The sequential decline of about SEK 1 billion from a record fourth quarter last year was expected and mainly related to Desmet. Invoicing was lower than expected as I indicated before and related to several factors; some customer delays, some supply chain disruptions from the strike in Finland and logistics at the Red Sea and perhaps the Easter week during the end of March, which is typically a strong invoices period may altogether created the headwind. The margin in the Food & Water division was negatively affected as a consequence specifically in the 2 business units running projects, the business unit Food Systems and business unit Desmet. The margins in other BUs were stable to positive. We see no obstacles for invoicing to return to expected levels from second quarter and onwards. Finally, the Marine division where demand was stronger than anticipated and grew 30% sequentially following a solid 2023. A clear and anticipated decline in the offshore market due to a congested supply chain was more than compensated in other areas especially in the tanker market. Invoicing grew as expected and the margin recovery that started in 2023 continued at a good pace. A solid order book is now secured for the rest of 2024 and well into 2025. The service growth continued with another solid quarter and on a healthy level. And then moving on to the summary comments on service. Entering 2024, we had some concerns regarding the growth after a record 2023, but with a somewhat flat development towards the end of the year. Instead, 2024 started well with an organic growth of 7.5%. The execution of the service strategy started several years ago and is progressing well. The global service organization is now significantly stronger than a few years ago and the ambitions remain high for the coming years. For good reasons, the group aspires to become a good service company. And then a couple of comments on the geographic split. And first, then please note that the chart is modified somewhat from before and now better reflects our operating structure. Also note that the numbers now refer to the share of global sales and the growth compared to the same quarter last year. With that said, America remains strong, especially in South America in this quarter; Southern Europe performed well mostly due to some large orders; China and Northeast Asia was positive mainly due to a positive shipbuilding market; India and Middle East was a bit softer in the first quarter, but underlying business conditions in both these regions remain very positive going forward. So in terms of our Top 10 markets, finally as always, you will see that the U.S. and China competes for the top spot with approximately 20% of group sales each. Given the macroeconomic concerns in China, the growth in the quarter was satisfactory. And with that, I'd like to hand over to Fredrik for some further financial comments.
Fredrik Ekstrom: Thank you, Tom. Hello, everyone. Let us get started with a summary of the main financial highlights for Q1 starting with an order intake that landed at SEK 18.3 billion, which is SEK 0.6 billion lower than quarter 1 2023. However, worthy of note is that currency had a negative impact comparatively and both structure and organic growth compensated. Equally worthy of note is that Q1 is among the Top 3 order intake quarters. Service accounted for 29% of the order intake and base business for 32%. Energy compensated for the entire slowdown of the heat pump demand. Food & Water grew across most of the business units with a continued recovery on base business. Marine order intake almost entirely compensated for the low portion of offshore business. So all in all, a strong order intake with a healthy mix. A good order intake in the quarter means that we continue to build on our backlog that now has accumulated to a book value of SEK 48 billion, SEK 31 billion is currently planned for delivery in 2024 and SEK 17 billion for delivery next year or later. This is in money the highest backlog the group has carried, of which the current part represents 8.9 months of sales based on the last 12 months' revenue figure. Both book-to-bill for the quarter 1.23 and our evaluation is that the backlog is well in sync with current commodity and other input prices. Sales in the quarter grew with 5.6%, again with a negative impact of currency and positive structural and organic growth. We have experienced delays to our ability to invoice in the quarter causing some of the planned revenues to defer forward. Food & Water was particularly affected in the quarter. However, we expect to recover this project invoicing gap during the year, the latter more than well supported by the backlog. As previously stated, invoicing in the quarter increased with 5.6% with the majority of the growth coming from the Marine and Energy division. The Food & Water division fell short on invoicing both in comparison to last year, but more importantly to the expected invoicing in the quarter, which results in a lower gross margin or gross profit contribution. The revenue mix was balanced with 30% portion of service and 70% capital sales. The revenue mix was -- sorry. Some imbalances in production results remain in this volatile period with some end markets going up and down. With some short lag, we have counterbalanced most of that imbalance. Both S&A and R&D reflect planned increases in line with added capacity and business development capabilities and are expected to moderate in pace in the coming quarters. Operating income increases 2% while the profit before tax increases with 9.8% to SEK 2.2 billion yielding an EPS of SEK 4.07, which is 12% higher than last year. Q1 yielded an adjusted EBITA margin of 16.3% or SEK 2.4 billion in money terms. Organic impact was dilutive with 0.4% mainly driven by the shortfall in invoicing and cost increases. Currency and structure also contributed with dilutive developments in the quarter. Energy division posted an adjusted EBITA ratio of 19.8%, which is a normalization in line with what we have indicated before from the elevated levels of Q1 last year. Food & Water division posted an adjusted EBITA ratio of 14.1%, which also compares lower than Q1 last year mainly impacted by delayed invoicing. Finally, the Marine division posted an adjusted EBITA ratio of 17.9%, which is a normalization in line with the recovery of profitability that started last year. Cash flow from operating activities continues to improve yielding SEK 1.7 billion in the quarter with a diminishing negative impact from working capital, which confirms a new balance with less capital bound in the balance sheet driven by our backlog under execution, manufacturing activities, inventories and invoicing. Capital expenditure reached SEK 818 million in the quarter, a receipt that we continue to invest on growth to support our current manufacturing capabilities, but also new and expanded manufacturing capabilities and of course business and product development. To reiterate what we have said in previous quarters, we have clearly not stopped our investment programs. We have, however, rephased them to suit the current and expected market demand. Nonetheless, the free cash flow improved to SEK 933 million. The positive development on our cash flow impacts cash and cash equivalents and current deposits positively in the quarter bringing the balance to SEK 7 billion. Debt now 1.2x EBITDA and 0.6x of EBITA in the last 12 months in relation to net debt. Average funding rate continues to increase on the back of current interest rate levels, but we are continuing to work on this continued position and an expansion of activities should such an opportunity arise. Let me rephrase. We are in continued good position to finance an expansion of activities should such an opportunity arise. And to finalize the financial summary of Q1, some guidance going forward. CapEx for the year is expected to land in the range of SEK 2 billion to SEK 2.5 billion, in line with previous comments in this presentation. Currency is expected to have a positive impact on the result based on current FX levels. Amortization of step-up values is expected to be on a level of SEK 700 million. And finally, we expect average tax rate for the group to be in the interval of 24% to 26%.With that, I hand over to Tom for an outlook on Q2.
Tom Erixon: Thank you. And regarding the outlook, as you are aware, several of our end markets are a bit volatile; heat pump market, offshore market and a couple of others that have been well communicated. And based on that, we were a bit cautious moving into the first quarter of this year. As you could notice, we came in a bit stronger and that is despite the fact that most of the downside was already materialized during the quarter. So we've been able to compensate in a better than anticipated way. Given that most of the running rate is already in the books for first quarter on the weaker side, we are somewhat more optimistic moving forward into Q2 when we expect demand to be somewhat higher sequentially in the second quarter compared to the first quarter. And on the divisional level; we expect the demand in the Marine division to be somewhat higher, we expect the demand in the Energy division to be somewhat higher and we expect the demand in the Food & Water division to be somewhat lower. And with that, we are open for questions.
Operator: [Operator Instructions] The first question is from the line of Klas Bergelind with Citi.
Klas Bergelind: Klas at Citi. My first question is on the data centers, Tom. You said I think before this is a low single-digit sort of share of the group around 2% to 3%, but you're now splitting out light industry and tech in Energy at 19% and I guess that will be SEK 4 billion annualized. How much of that is data center now? And we've heard from others a growth of 100% here in the quarter. Did you see a similar development? And in light of that, I think you previously said, Tom, that growth here for you in data centers would likely come later than now. So what changed in the quarter?
Tom Erixon: Not so much changed in the quarter. We have a decent pipeline, a decent conversion in the quarter, a relatively strong pipeline going forward. We are not going to start to split to the granularity of individual applications and customers. But obviously it is just a part of the light industry side so you can sort of make your assumptions on that. So I'm saying that it's a couple of percent and if we double it, it's a couple of percent more and it's within the margin of error in however you calculate the overall order intake. So I said before and I say again, I wouldn't get higher. If you want to make money on the data center, Alfa Laval is not the place to go. It's part of our business, it's part of the portfolio growing; but it's not what we're standing for going forward.
Klas Bergelind: I completely agree. I was surprised to see that it came through in a strong way. But okay, good stuff. My second one is on your capacity in Marine. You have obviously earlier said that you're booked out in offshore and we can see it in the orders now on the larger side. How should we think about cargo pumping? Because I was a little bit under the impression that you were also quite filled up on capacity here as well, but orders beat my estimates particularly on the tanker side. So to what extent can you sort of push out lead times here and continue to take orders outside offshore? You're obviously guiding now for somewhat higher. So I guess the answer is yes, we can take more orders. But interested in capacity on the Marine side.
Tom Erixon: Yes, it's a good question and we share your view on the market. The tanker market has continued to be stronger than expected. We are seeing some conversion of already booked production slots at the yard since they are sold out that is moving towards tankers in a bigger way than would normally be the case. And consequently, Q1 came in a bit higher and consequently the guidance for Q2 is a bit more positive. So that's kind of where the market is. We are relatively -- let me make 2 comments on the cargo pumping side. When we had the downturn in the cargo pumping a year ago or so, we took great precautions to protect our capabilities and our capacities and continue to invest knowing that we would have a market down the road. Now when we are there, we feel we are well prepared. I don't think we ever had said no to an order. I think we have never been able not to supply. And I'd be hard pushed to believe that we're going to end up in that situation in the future as well. So I think yard availability will be the limiting factor on this and we will make sure that we can take care of the customer base for this. But in terms of your market analysis, I completely agree.
Klas Bergelind: My very quick final one is on HVAC, but outside of heat pumps. We are seeing some sort of green shoots here and there and some companies are also guiding higher on sort of the construction verticals. What are you seeing, Tom, sort of outside heat pumps and if you're a bit forward-looking on the HVAC side?
Tom Erixon: We certainly do feel that we are -- I mean we are in volume terms low. We are expecting to be in volume terms low in the second quarter as well. We are a little bit unsure how we should think about the ramping on the second half, but we are still there with our key accounts and the way we look at the market that it will happen in a controlled way. We've been working. We had a lot of limitations to protect our existing customer base during the capacity constraints and so we were basically not utilizing our channel partners and a lot of other opportunities within that business and we obviously have expanded that scope. Now it doesn't flip overnight. So it is a normal sales process to get some traction in areas where we before were not open for business, but we feel we are gradually there. So we are able to compensate a little bit or at least gradually from the low level we are seeing based on the heat pump market. But of course in total volume, it will not compensate. I think maybe the downturn on the transactional part of the HVAC has been, other than for the heat pump side, a bit milder than we anticipated. So there may be some truth to your comments, but I don't feel it's in a strong recovery. It's been other areas that's been doing the job for us in the quarter.
Operator: The next question is from the line of Sebastian Kuenne with RBC.
Sebastian Kuenne: My first question is on Food & Water where you have the delayed invoicing. I was wondering what the effect is on the margin. It looks like project business is definite business. It's lower margin. That business is coming back, it's stronger invoicing in Q2. Do you now think that this could have a negative margin impact? And what is happening with the transaction business there? Is this also coming back in the second half or what's your expectation?
Tom Erixon: If I start with the transactional business, as we indicated, we saw a soft return to growth in fourth quarter. It was not a trend. We continued to see a soft recovery on the transactional side in the first quarter. So after 2 quarters with a bit better development in China and a bit better development on the transactional side, we feel we turned the corner and are back in a slow, but not a mild recovery on the transactional side. So that is in principle slow, but good news. On the invoicing side on the projects, I'm not worried about the mix change. We took quite a margin hit on businesses where we didn't -- when you sort of drop invoicing below SEK 700 million or so in a quarter, all the cost ratios turn a bit upside down. So yes, we will have maybe a bit of a mix effect as we gear up the invoicing on projects, but we will also have a substantially better profitability on the project invoicing. So I think for me, that's a net positive. What I would say and what we are very focused on is that it's okay to have a delayed invoicing and a delayed profitability, but we also want to make sure that we have our costs in the individual projects on a good level that is that the actual profitability of the projects are in line with the precalculated levels. And so far we don't see any negative deviations on the individual projects. It's more of a phasing thing. So I think looking into Q2, it's somewhat of a soft positive going forward.
Sebastian Kuenne: I have 1 follow-up also relating to backlog and pricing and cost. You now have a record backlog, you have very strong deliveries expected for the rest of this year so it looks like customers are accepting higher prices. At the same time when I look at the commodity prices and energy costs where you have a high exposure like nickel prices for example or natural gas, your raw mat costs must come down quite a lot by now. Are you becoming incrementally confident on the margin going forward, let's say, compared to where you were 3 or 6 months ago? What's the situation there?
Tom Erixon: I think it's kind of similar. We feel the pricing of the backlog is adequate. It's true that we have a decrease on commodity prices compared to when some of those orders were taken. On the other hand, we're also hedging part of our materials and metals exposure. So it's not just PPV gain, it is plus and minuses. But taking everything into account, I think we are fairly balanced. While commodity prices typically has been weaker lately, we're also living in a reasonably high inflation environment when it comes to S&A costs. So salary and wage increases for us up until this moment are the highest they've been probably in our history at least in modern terms. So it's only a matter of a few percentage points, but the inflation is still a little bit of an issue. And so we are guarding the question on how we look at the pricing very carefully. But if you would ask the question is pricing increases going forward as -- is the pricing environment as positive as it was 2 years ago? Absolutely not. I mean the time period of 2, 3 price increases in a year is probably over, but we still need to be a bit disciplined. So a balanced view on the product portfolio we feel at current levels it's adequate.
Operator: The next question is from the line of John Kim with Deutsche Bank.
John Kim: Can you hear me?
Tom Erixon: Yes.
John Kim: Okay. Third time's the charm. Two questions. In Energy, is there any funnies or oneoffs, any revaluation in the margin for Q1? And then secondly, on Food & Water, you spoke about the impact of invoicing and fewer trading days. Any sense of quantum here and how that's going to spread through the quarters? Is it something that we should expect to come right as of Q2 or is it more of a gradual effect?
Tom Erixon: Well, you can't quite ask a question you did on the first one. There is always effects left, right and center. But what I would say on the Energy margin is that it's a fair representation of the underlying operational performance. And so it was a distortion Q1 last year. Overall, it's not a distortion in this quarter. On the invoicing side, your second question was invoicing pace on the Food & Water division, right?
Fredrik Ekstrom: Yeah. Whether it's all going to come in quarter two or spread out over the year.
Tom Erixon: You want to make a comment on that, Fredrik?
Fredrik Ekstrom: I mean some part of it will certainly come into quarter 2. And assuming that the disturbances that we saw in other parts of the supply chain are resolved, that will of course prepone it into quarter 2, but we expect it to recover during the year.
John Kim: Okay. Is it fair to interpret that transactional harder than project?
Fredrik Ekstrom: No, it's more on the project side than it is on the transactional side.
Operator: The next question is from the line of Sven Weier with UBS.
Sven Weier: The first one, Tom, is on the market outlook on the biofuel side. I think you mentioned in your prepared remarks that the weakening that you were expecting overall and the weak spot has played out in Q1 and so there is no additional weakening in Q2, which is part of your positive guidance. I was just wondering if you could comment on the biofuel segment specifically, if that also holds true there or if this is also still part of your somewhat lower demand for Food & Water in the second quarter? That's the first one.
Tom Erixon: I think our comment was perhaps a little bit broader than the biofuel, particularly the Desmet business portfolio is heavily geared towards partly biofuels, but also a number of other areas related to vegetable oils and all your chemicals and that was a stellar year, as you know, last year. And I think the pace of that was brought down sequentially with about SEK 1 billion in Q1 as expected. So still a good level. But I think on the biofuel side specifically, I don't expect any further weaknesses going into 2024. Project activity is still there. There were variations between different geographies. But I think on about this level, we would not see any particular downside on that level from where we are right now.
Sven Weier: So what drives it somewhat lower for food then in Q2?
Tom Erixon: Well, if we look at -- well, let's see what it will be. What you can see in the report and what we have commented on is that the transactional side and the service side was weakly positive in Q1 and so that's the trend curve that we are in. And so you are left with the size of the project portfolio and how they will convert and of course that covers a whole host of other areas than just the biofuel side. So it's within that project portfolio all in all when we weigh it together that we feel the strength of the pipeline at this moment may not convert to the same level as in Q1. So it's not any -- in fact when we look at all the end markets; whether it's pharmaceuticals, dairy, brewery, protein; it is reasonably stable in terms of end market conditions. So it's more a matter of Food & Water's order in Q2 is going to be in relation to project conversions and our best estimate is that they will convert somewhat lower.
Sven Weier: Okay. Understood. The second question was for Fredrik on the guidance items on the Page #17. I mean I sense there is a change against Q4 because you now say CapEx SEK 2 billion to SEK 2.5 billion. So that seems somewhat more positive than before. And then when I look at the PPA items, you've now got SEK 700 million, last quarter you guided SEK 965 million so quite a reduction. I was just wondering what was causing those changes.
Fredrik Ekstrom: Right. So let's take them in reverse order. So the amortization of the step-up values, that is just a recalculation of the remaining values in the balance sheet. So the recalculation from SEK 900 million to SEK 700 million or SEK 950 million to SEK 700 million is as a result of that. And then coming back then to your first question, which I think is really the important one, we've seen and we have accelerated some of the investments or let some of the investments that we started in 2023 come actually to fruition in 2024 and we have not accelerated at that pace, but will continue at that pace. And what we have said is that we have sufficient confidence in the dialog we have with our customers and the need for capacity and the need of replacing obsolete equipment and bringing automation into our manufacturing envelope so that we have continued at a pace that is probably going to land us between SEK 2 billion and SEK 2.5 billion based on the fact that in quarter 1 we already had an investment pace of SEK 818 million.
Operator: The next question is from the line of Johan Eliason with Kepler Cheuvreux.
Johan Eliason: Just on Marine again, you mentioned some short-term caution on offshore. Is that over or are you still sort of a little bit cautious on that? And on the tanker side, is this primarily slot conversions or are you also seeing what Wartsila was sort of alluding to that there are some more capacity coming into the global shipyards going forward?
Tom Erixon: I think the main aspect on the Marine demand is slot conversion. Maybe when everybody is scrambling, there will be some ability to increase the number of produced ships within the current framework, but we don't think it's going to have a major impact on the total volume. So I think the conversion is what's going to affect the short-term order intake for us. And the first part of your question, did I lose part of your question? No, I think offshore last year was tremendously intense and the issue is not our capacity or our ways. We just judge that the whole supply chain in the offshore industry is now relatively fully loaded and we expect a softer 2024, but with full order books and full momentum going forward. So the business context is quite okay. I think we pretty much have that downside in the pace in quarter 1 already. So I don't see any big change in the pace of offshore from Q1 to Q2. So that's a little bit back to our guidance comments. Desmet has come down, offshore has come down, heat pumps have largely come down to a bottom level. So in most of the verticals where we were expecting slowdown, that materialized as we anticipated. It's just that the upside turned out to be a bit stronger than we calculated 3 months back.
Johan Eliason: Good. And then last year, you talked about some extra cost in the quarter in the Energy for some sort of heat pump related CapEx you were planning and that was pushed out a little bit. How should we think? Are all extra costs gone now or are they coming back in the second half if you see more demand or will this have any sort of impact when we look at the Energy division sort of margin progression going forward?
Fredrik Ekstrom: So the additional costs that we flagged for at that time I believe it was quarter 1 last year was actually to the project execution cost, the cost of bringing in higher level of automation and the cost of driving, if you will, operations development on manufacturing technology. And we have continued with many of those projects. Some of them have been phased according to the actual investment into manufacturing assets, but they're not necessarily connected and not necessarily disconnected. So it's a little bit what projects are maturing together with the CapEx, but there is a continued commitment to investment into automation and furthering technology into the manufacturing envelope. So there is a cost.
Operator: The next question is from the line of Daniela Costa with GS.
Daniela Costa: I have 2 questions. I don't think you've mentioned, but sorry if you did. But first one, just following up on the topic of capital allocation. I guess sort of some years back, you had a buyback which you paused to step up the CapEx program if I remember correctly. Given you're sort of pausing or phasing CapEx a little bit more now, has your thinking about capital allocation in general changed in any sense, if you could talk through that? And my second question, quite simply can you talk a little bit how you've seen China evolving across your 3 businesses throughout the quarter and sort of leading into the rest of the year?
Tom Erixon: I start with China to start on an easy one. Our exposure in China which, as I indicated, is about 20%. More than half of that is the marine industry and given the business cycle that we see currently, we believe we will have a good and strong year in China. That is a bit decoupled from the Chinese macroeconomic development of course. And on that side, we are a bit more cautious. We've seen a bit of a return to growth in China. It started Q4, but it's not the China we used to have with well into the double-digit growth and really firm and dynamic business environment. It looks and feels more like Western Europe today and so let's see where it goes. The 1 upside area perhaps if we look at our end market exposure is probably more related to the energy transition and the energy security part where we do see projects moving in China on traditional refineries as well as in the energy efficiency/energy transition area. So we may see some benefit of that going forward. So there you sort of have our view on where we are in China; lukewarm for Food & Water, some upside in Energy and strong situation in Marine. On capital allocation, we obviously hope, both Fredrik and I, that we are not going back to share buybacks. If we have only 1 options, we will go there. But we're driving hard on the organic growth that works and the attractiveness of M&A needs to qualify on that note, but of course we have a pipeline in M&A. We have several areas where we are interested. So if we can find transactions on the right level, we will go forward and that will -- I think if we can convert that pipeline on a reasonable level, I think we have a good balance between balance sheet strength, cash flow, M&A. And I don't know, Fredrik, if you have any further comment on that.
Fredrik Ekstrom: Well, I think the only thing missing there is that we will continue to of course as we can balance our debt as debt now has a cost and that's something that we can do short term in order to minimize costs in order to bring up that level if necessary when that capital allocation comes if an M&A opportunity arises.
Operator: The next question is from the line of Alexander Virgo with Bank of America.
Alexander Virgo: I wondered if I could just squeeze in a little bit more color on the service development, please, because it's now north of 30% in Energy. That's obviously giving you a good deal of tailwind in terms of the mix that you've referred to previously. I wondered if you could just give us a bit more of a sense of what's driving that given I think it's fair to say that the strength at the start of 2024 surprised you as well.
Tom Erixon: As you know towards the end of last year, there were some concerns whether we were plateauing or whether we were slowing down. We saw the same numbers. After strong growth periods, the anticipation of what's going to happen next can be a little bit volatile. So we didn't want to take for granted that we were returning to a strong growth period. We were though. I would say let's not neglect the fact that we do have a good market demand situation on service not least in the Marine side where we have an aging fleet, very good shipping rates. And consequently, uptime for the ships and keeping them in operation means that the drivers for the service growth in Marine are very much present right now. So that's part of it. But of course the biggest growth in service we had was in the Energy division in the quarter and that was not a change of demand situation. I think it's a result of 5 years' work on the service offering, on a lot of changes we've done when it comes to our service infrastructure, our training of the sales force, our recruiting, our building the team and whatnot and covering of the installed base. And it's been a long and hard journey for us in getting our service business into where we want to be and I think we are starting to get there now. I don't necessarily see that we reach the endpoint. And if you add to that that the capital sales is going well and our installed base is getting better so we obviously have a big installed base to cover every year. So that's why we have indicated that we kind of expect if we have a corporate growth target at 5%, probably service should be, if anything, slightly higher and capital sales slightly lower in relation to each other over time. That's what we expect. And with that, I think we are arriving to the last question today and then you have to come to the AGM, if you want to ask any further questions. So can we go for the last one?
Operator: Yes. The next question is from Max Yates with Morgan Stanley.
Max Yates: I guess I'll be quick. Just the only question I had left was on multifuel ships, which you obviously call out that that's gaining traction. I just wanted to understand kind of you talked about a sort of EUR 1 million uplift I think per ship. How many of the ships that you're receiving today are getting that kind of uplift in Q1 or in the last 12 months? Just a feel for kind of how big a part of your order intake that multifuel is and whether you're seeing that kind of full EUR 1 million uplift on the majority of it.
Tom Erixon: It's a good question. I'm hesitating a little bit to give you a clear answer on it just because I don't want to be quoted wrong. We might get back to you on that. So we'll somehow -- we are not confidential about the information. I would say 2 things. The delta between the one and the other is not necessarily EUR 1 million. It's typically a bit smaller, but it depends on other factors in the multifuel as well. That's 1 comment. And the other comment is that I think if I consider the fuel mix, which there are very detailed data on, over a long time series in terms of how the fuels looks like onboard, I think the multifuel has continued relatively steady compared to recent quarters. That's my feeling. And so in terms of numbers, we are below 50% of the ships that we engage with in terms of multifuels. That's for sure. But I hesitate a bit to go too far in my comment just that I will not give you a wrong number.
Max Yates: Understood. One really quick final follow-up. I remember at the Capital Markets Day a few years ago, you talked about the lag between a tanker order and a pumping system order was very, very fast. It could even be kind of intraquarter. And what I wanted to understand is you've obviously started the year with very strong pumping system orders. The data in January to March of tanker system orders is also very strong. Is that what we're seeing in your order intake today or is actually the strong order intake related to ship orders that were placed in kind of the second half of the year? Just trying to understand what's really driving the dynamic or if you even have data on that today.
Tom Erixon: No, it's a good question. Again I can't give you the exact split, but certainly the strong data that you see in Q1 is partly reflected in our order book in Q1 as well. And that is one of the main drivers to our order intake being somewhat higher than we indicated to you guys 3 months ago. With that, we reached the end. Before we handing over, I just want to remind everybody that our Capital Markets Day is coming up. It's coming up in November. It's going to be outside Verona. It's the one of the places where the energy transition is happening for us. I think if you want to get a pulse for what's happening on that topic, our Capital Markets Day is going to be a good view spot. So we welcome you all there and of course there will be further information out on that shortly. So thank you very much.